Operator: Good day, ladies and gentlemen, and welcome to the Discovery Communications' Q2 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. If anyone should require operator assistance, please press star then zero on your touchtone telephone. As a reminder, today's conference call is being recorded. I would now like to turn the conference over to Jackie Burka, Vice President of Investor Relations. Please go ahead.
Jackie Burka: Good morning, everyone. Thank you for joining us for Discovery Communications' 2016 second quarter earnings call. Joining me today are David Zaslav, our President and Chief Executive Officer, and Andy Warren, our Chief Financial Officer. You should have received our earnings release but if not feel free to access it on our website at www.discoverycommunications.com. On today's call, we will begin with some opening comments from David and Andy and then we will open up the call for your question. Please keep to one question so we can accommodate as many people as possible. Before we start, I would like to remind you that comments today regarding the company's future business plans, prospects and financial performance are forward-looking statements that we make pursuant to the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. These statements are made based on management's current knowledge and assumptions about future events and they involve risks and uncertainties that could cause actual results to differ materially from our expectations. In providing projections and other forward-looking statements, the company disclaims any intent or obligation to update them. For additional information on important factors that could affect these expectations, please see our annual report for the year ended December 31, 2015 and our subsequent filings made with the US Securities and Exchange Commission. And with that I will turn the call over to David.
David M. Zaslav: Good morning, and thank you all for joining us. Discovery Communications had another quarter of strong operating and financial results as we remained focused on maximizing our global linear TV business, strengthening our position on digital and direct-to-consumer platforms and controlling our cost base. A key element of Discovery's growth profile is our continued success in securing long cycle distribution agreements that provide for steady and predictable revenue growth and the optionality for windowing our content on existing and new platforms. Today, I am pleased to announce we have a new long-term comprehensive affiliate deal with Liberty Global, one of our biggest international distribution partners. The new multi-year deal will deliver our full portfolio of networks to Liberty Global subscribers in 12 European countries and includes new linear distribution for some of our key brands. It also includes broad digital distribution on Liberty Global's Horizon platform that will guarantee our passionate super fans will have access to our content on the screen of their choice. The Liberty Global deal is a continuation of several recent renewals in Europe where we're fighting for the value of our investments in non-fiction, sports and the Olympic games. These agreements validate our diversification approach and underscore the potential to drive long-term growth through these long-term affiliate deals. Our international distribution growth is returning to a double digit increase for the full year of 2016 and is poised to stay there for many years to come. This ensures cash flows and provides an investment pool to bolster our content to drive the next generation of growth. There is no question that the addition of sports to our non-fiction portfolio in Europe is bolstering our profile with distributors and reinforcing the must-have nature of our overall suite of brands. Our US and international affiliate revenues comprise about 50% of our total company revenues and growth of these revenue streams is now locked in for the next couple of years. Given the double digit revenue growth internationally, with our new Liberty deal and with recent agreements with Telenor and Telia across the Nordics and the favorable price increases and step ups we've garnered in all of our recent domestic renewals, together they will register strong growth, even assuming universe declines in some markets. This is solid guaranteed revenue growth for half of our company. It's like a favorable bond. Against our solid distribution revenue base we have more variable ad rates and we also have longer term upside potential as we convert the intellectual property, our content that we control, to new and emerging platforms. Along with the additional contributions to our international affiliate growth, investments in premium and exclusive sports rights also are opening up new opportunities to build our direct-to-consumer platform in businesses. A key example is our recent acquisition of Bundesliga rights in Germany. As you know, we look at every deal that comes available but we are always financially disciplined in our approach. A number of things aligned that made the Bundesliga different and very attractive. First, there was a new law in Germany called the no single buyer rule that gave us an opportunity to acquire the rights on favorable terms so that the investment will be cash flow positive for us. Second, we acquired a package of 45 games, mostly on Friday nights. It's a unique offering of must-have content for German sports fans, similar to Monday night football in the US, and it makes our Eurosport pay TV channel and the Eurosport player the home of Friday night Bundesliga matches. The deal is also for all platforms allowing digital growth as it will help drive the Eurosport player subscriptions while also providing a huge marketing platform for our whole portfolio. Finally, Germany is the fourth largest economy in the world, and the German pay TV market has never been healthier, with multiple telcos, satellite players and other distributors, all vying for the best and strongest IP. These are important potent sports rights that we now own across all platforms. As Andy will discuss in more detail, we will do well with this deal from the financial perspective, and it will also bring numerous strategic benefits to the business. Another example of our opportunistic and disciplined sports acquisition strategy for exclusive content is the multi-market deal for Wimbledon that we are announcing today. This agreement solidifies Eurosport as the home of all four grand slam tennis tournaments in 25 countries next year. One year ago we had just one market with all four tournaments. Like the Bundesliga deal, these rights bolster our pay TV offering, fuel our over the top sports product and give us exclusive premium content to attract more advertisers and viewers to our platforms. And with Rio a couple days away our Olympics team is in place, geared up and has started logistical planning for our first games across Europe in 2018. With our focus on securing these exclusive rights we feel that we have the real building blocks and value proposition to begin accelerating our direct-to-consumer sports strategy and the market potential is huge. As Andy will outline in more detail, given only about half of the homes in Europe have the main Eurosport pay TV channel, a little less than 150 million homes, there's significant opportunity for our sports IP to reach people on all devices throughout all of Europe, which has a population of over 700 million people. Our investments in premium IP in Europe and around the world are a key part of our strategy and we're really seeing the benefits take hold. In the US, our expansion into crime and mystery with ID has been a home run. The Velocity and Oprah Winfrey's OWN network delivered top performances this quarter and this past year, further validating our differentiated and diverse portfolio, specifically with its focus on scripted with Tyler Perry and Greenleaf, the new series featuring Oprah and produced by Oprah, OWN's success is only accelerating. Oprah's Greenleaf's success coupled with Tyler's hugely successful scripted series already on OWN has made OWN the number one channel for African-American women and a top ten cable network in America for all women, which is really incredible considering OWN didn't exist five years ago. This impressive growth trajectory is being recognized in the marketplace during this year's upfront, where we did very, very well. And we have a new scripted series which is produced by Oprah Winfrey called Queen Sugar, and that will be premiering in a few weeks and it also looks absolutely terrific. Our premium content strategy also is driving our digital business, as we are leaning more into short-form, streaming, and virtual reality platforms that appeal to millennial digital natives. For example, Discovery Virtual Reality, VR, which we launched just a year ago, now has over 1.4 million downloads and over 60 million streams and we recently launched our first VR scripted four part miniseries, The Satchel, in conjunction with Toyota. This innovative storytelling product brings our viewers closer to real, which has long been our aspiration and we are a first-mover market leader with our virtual reality content, gaining scale quickly and tapping into a potential next generation growth business for Discovery that younger generations are deeply engaged in. We also are engaging younger viewers and adding value to pay TV customers through our authenticated TV Everywhere product, Discovery GO and exciting millennials with our online brands, Seeker and SourceFed, which totaled over one billion worldwide streams during the quarter. In Latin America, our TV Everywhere product, Discovery Kids Play, is off to a strong start with great engagement in 11 countries across nine carriers. Another example of our platform agnostic approach can be seen in Italy where we completed a deal with Vodafone to provide our entire free-to-air portfolio to its subscribers across all platforms. Beyond our platforms, we are engaged with many players regarding other new and emerging products as we remain platform agnostic in how and where we reach our viewers, like our deals with Verizon Go90, Sony's PlayStation View and Hulu. These opportunities represent potential ways to reach new viewers and new revenue streams to drive growth. Viewers worldwide have made it clear they value our content. In a recent beta research study in the US that asked which networks people would want in an a la carte world, Discovery Channel ranked number one among all non-cable viewers and many of our other channels were in the top five of their target demos. Discovery Channel is the number one pay TV brand in most of the markets around the world where we're in business. As we think about our US business, I'd like to highlight some of our unique competitive advantages that will help ensure we continue to have a stable profitable domestic business going forward. Unlike many other content providers, we have very flexible cost structures and are not locked into long-term syndication type deals, thus we have levers we can pull when and if needed. We also own almost all of our content and control it across all platforms. That makes us more platform agnostic and gives us a lot of optionality as the world evolves. Additionally, given the demand for our brands and the value they represent, we believe we're extremely well positioned if the U.S. shifts towards more skinny bundles in the many years ahead. And with 85% of our economics coming from our top six networks, we could even benefit from smaller bundles, especially if they attract new audiences, which has been our experience in markets around the world where we have been on skinnier bundles. Our mission has transformed over time from linear-only non-fiction programming to a multi-platform offering of non-fiction, sports and kids' content today. The common thread has always been and continues to be real world entertainment that engages passionate communities around the globe. I am very optimistic about the future and our continued ability to deliver strong financial results and enhanced shareholder value. I will now turn the call over to Andy for details on our financial results.
Andrew C. Warren: Thanks, David, and I thank everyone for joining us today. As David mentioned, we are very pleased with the continued financial and strategic progress we made in the second quarter. Our strong sustained domestic and international long cycle affiliate revenue growth, combined with mid-single digit global ad growth, drove 8% total company organic revenue growth. This solid top-line performance, combined with our continued focus on controlling our operational costs, led to a 10% global organic adjusted OIBDA growth, more than triple last year's second quarter growth rate. As we've consistently noted, two of our critical competitive advantages are our flexible cost structures and the fact that we own or control the vast majority of our content across all platforms. These give us tremendous operational flexibility and optionality, and allow us to fully maximize our profit growth. While our international advertising growth has recently been slowed by unusual market factors such as Brexit, we booked very strong U.S. upfront ad volume, our affiliate growth remains stable domestically, and it's accelerating internationally, and we remain hyper focused on controlling global cost growth. With our first half of the year constant currency adjusted EPS of 25%, we are pacing well ahead of our earlier guidance of high teens growth. Therefore, we are increasing our full year guidance for constant currency adjusted EPS growth from high teens to at least 20%-plus. Similarly, our first half constant currency free cash flow growth of 42% is also pacing well ahead of our high teens growth guidance range, which clearly validates our operational attraction and excellence. Before providing more details around our second quarter results, I want to answer directly several of the major questions analysts and investors have been asking us lately. First, with today's announcement, our new distribution deal with Liberty Global, we are now able to provide more information on the Bundesliga soccer right license in Germany that we announced mid quarter. We are very mindful of your concerns about these additional costs and their potential impact on Eurosport's profitability. As David mentioned, given the new no single buyer rule, we were able to pick up our primetime package of 45 exclusive games per year over the next four years at attractive rates. Also, consistent with our imperative that we position Discovery's international business for the future, the deal includes live streaming rights for games that we will now be able to market directly to all German consumers, including the 80% who do not subscribe to premium pay TV. With these rights starting in August of 2017, we will recognize half of that annual cost next year, and given the favorable rights pricing terms, we can commit to the Bundesliga being cash flow positive. It's very important for investors to know that we vet each and every sports rights deal rigorously to ensure that we can both generate a positive return on these investments and meaningfully enhance our strategic content position in key markets. Eurosport does not, and will never have negative margins. No sports rights deal that we pursue will lead to Eurosport losing money, and Bundesliga is absolutely no exception to this commitment. Now, I'll take a moment to talk through the future of our digital business in Europe, especially regarding Eurosport. Like you, we don't know exactly how the digital future, and in particular mobile, will progress, but we do know for sure that it is essential that we play and lead on this platform. Here are a few statistics and market perspectives that we use to inform our strategic and investment decision-making processes. First, data from the organization for economic cooperation and development, or OECD, indicates that there are around 330 million mobile phone data subscribers in Europe. Also, Pew Research indicates smartphone penetration in major European countries to be between 50% and 70%. This of course means that these people all have smartphone video capability today. We also know that mobile operators are looking for sports content partners to help bundle their respective services. Second, our own analysis indicates that today, there are over 32 million OTT households in the top European markets, and clearly that number will continue to increase dramatically with higher broadband rates and more SVOD services, especially around sports. Third, we know that there have already been over 17 million downloads to date of our free Eurosport news app. These users are our starting point or funnel for marketing access to all the digital sports content we have been smartly collecting. With these market dynamics, we can begin to build some strategic planning numbers around these facts to give us a sense of the potential scale and long-term value creation, to tell us whether this is a line of business worth pursuing. You'll do your own models but here's one of the ways we've been thinking about quantifying the opportunity. 1% of the OECD's 330 million mobile data subscribers at $8 per month would deliver approximately $330 million in additional annual revenues and a 5% penetration would deliver $1.6 billion. Recognizing that we have already paid for most of these digital content rights and would need to continue to invest in the latest platform technologies, a 40% margin would provide between $100 and $700 million of additional adjusted OIBDA at these 1% to 5% take rates. This is not assuming the additional advertising and sponsorship revenues from the Eurosport digital apps as we will certainly sell across platform. We are also aware that the enterprise value multiples on these digital earnings are higher than those from traditional linear programming. To be clear, this is not guidance but an example of one of the ways we are exploring the digital future in Europe as we make our strategic investment and content decisions. And one of the reasons that we need to assure that we have the content fully available for digital platforms as we execute our linear sports deals. Not surprisingly, another big question we've been getting is the impact of Brexit. For context, our U.K. business represents about 5% of total company revenues and a slightly higher percentage of total company advertising revenues. We're working through all of the potential implications of Brexit on our business, but from an FX perspective, we expect minimal near-term impact on our cash flows. For 2016, our adjusted OIBDA is fully hedged against the weaker pound sterling and 80% hedged against movements in the Euro. For 2017 we are have currently hedged about half of our Euro denominated cash flow exposures as we have rolling 12 to 18 months foreign exchange hedges already in place. From a business perspective, we have not yet seen the recovery in the U.K. ad market that we had expected had the Brexit vote gone the other way but it's still early days. We're continuing to monitor policy developments but do fully expect the U.K. to remain a key market for us. Finally, an important question being asked is how the Olympics and Brexit would impact our Q3 results. While we are increasing our adjusted EPS guidance for the year, we need to caution that Q3 will be challenged. The Olympics, as they always do, suck advertising dollars out of the market and Brexit will negatively impact our U.K. derived ad sales. Now, let's talk about the second quarter results in more detail. As I stated, on an organic basis, so excluding the impact of foreign currency as well as prior year contributions from SBS radio, which we sold on June 30, 2015, total company revenues were up 8% and adjusted OIBDA grew 10%. Net income available to Discovery Communications of $408 million was up 43% from the second quarter a year ago, primarily due to improved operating results, currency-related transactional gains, a decrease in taxes and lower stock compensation, partially offset by a decline in income from equity investees and higher restructuring charges. Our book tax income rate in the quarter was 19% due to a one time settlement benefit, and therefore we now expect our full year tax rate to be 28%, fully 500 basis points lower than our 2015 tax rate. Earnings per diluted share for the second quarter was $0.66, 50% above the second quarter a year ago. Adjusted earnings per diluted share which excludes the impact from acquisition related non cash amortization of intangible assets was $0.71, a 45% improvement versus last year's second quarter. Excluding currency impacts, adjusted EPS was up 31% for the quarter and up 20% for the last 12 months over the prior 12 months. Second quarter free cash flow decreased 4% to $301 million as improved operating performance and lower cash taxes were more than offset by the timing of working capital and higher capital expenditures. Second quarter free cash flow ex FX increased 30% for the last 12 month period compared to the prior 12 months. Turning now to the operating units our U.S. Networks had another very solid quarter with total revenues up 7% led by 8% distribution growth and 5% advertising growth, and another quarter of double digit adjusted OIBDA up an impressive 10%. Our 5% advertising growth was again due to higher pricing and proactively managing and monetizing our inventory to take advantage of the strong demand in the scatter market. This was partially offset by weaker delivery and in particular a weaker than expected Shark Week due to its earlier positioning ahead of the Fourth of July. As we look ahead to the third quarter, we expect advertising revenues to be down low single digits versus last year's third quarter due to the Olympics and the tougher comp, before rebounding back to positive growth in the fourth quarter. Our Domestic Distribution revenues again increased 8% while total portfolio subs declined 2% for the second quarter last year. We continue to benefit from the higher locked in rate increases earned in all of our recent affiliate deals. Domestic operating expenses in the quarter were up 3%. Our focus on controlling base cost led to an impressive domestic adjusted OIBDA growth of 10% with margins expanding by 100 basis points to 62%. As we look ahead to the rest of the year, we now expect expense growth to increase slightly in Q3 due to increased marketing spend and then abate in the fourth quarter. Turning now to our international operations. For comparability purposes my following international comments will refer to our organic results only so exclude the impact of FX and the SBS radio sale. International organic revenues and adjusted OIBDA both increased 8%. The 8% second quarter revenue growth was comprised of 10% distribution and 5% advertising growth. Our 10% affiliate revenue growth was due to higher affiliate rates in CEEMEA and in northern Europe where we have been highly successful in leveraging our expanded content portfolio that now includes sports to drive higher contracted pricing step ups, as well as increased subscribers in Latin America. Going forward, we expect our international affiliate growth rates to accelerate, so we are raising our growth expectations to the high single digit, low double digit range for the back half of 2016. Turning to our second quarter international advertising results, while we benefited from higher volumes and ratings in southern Europe and higher pricing volumes in CEEMEA, growth in these markets was partially offset by declines in northern Europe our largest advertising region. Northern Europe was impacted by the UK's lower ratings and softer demand due to uncertainty ahead of the Brexit vote. Given softer ratings and the fact that this uncertainty has not lifted post the decision to exit the EU and visibility remains limited, we expect an ad sales deceleration in the third quarter, which will also be impacted by the Olympics. We now expect total second half 2016 organic international advertising growth to be in the mid to high single digit range. International operating expenses grew 9% in the second quarter primarily due to higher sports content and production costs. Looking ahead, we expect organic expense growth to moderate in the back half of the year as we're able to fully leverage our pre-existing sports rights and local market people and infrastructure. Now, taking a look at our share repurchases. In the second quarter we repurchased a total of $377 million worth of shares. We have now spent over $7.4 billion buying back shares since we began our buyback program at the end of 2010. On a stock split adjusted basis, we have reduced our share count by 33%. We still plan to buy back a total of $1.5 billion worth of shares in 2016 as we continue to find the mid to high teen IRR return on this investment highly attractive. Despite increased global uncertainties, we remain very comfortable with our current growth leverage ratio of 3.3 times given both our high degree of confidence and our free cash flow growth forecast as well as our robust 15% and growing free cash flow to debt yield. Additionally, OWN's free cash flow, while not included in our reported operating results, continues to accelerate and supports our capital structure. We retain a lot of flexibility around capital allocation and are highly committed to remaining investment grade rated company. Importantly, we are well within the financial ratios prescribed by all three rating agencies for our current investment-grade BBB- debt rating. For the full year 2016, despite the anticipated difficult third quarter, I am very pleased, as previously mentioned, to raise our guidance for adjusted EPS from high teens to at least 20-plus percent. At the same time, we are reiterating our guidance for constant currency free cash flow growth of at least high teens as well as our commitment to driving solid constant currency margin expansion. Importantly, today we are also increasing our 2015 to 2018 three-year constant currency adjusted EPS and free cash flow growth CAGRs from the low double-digit guidance we outlined at our investor day last September to now growing at least low teens or better. Even taking into account uncertain global ad and media market dynamics, we were able to very confidently, today, raise these three-year financial growth commitments, given our increased visibility in three specific areas. First, our global affiliate growth rates, which make up 50% of our revenue base, given our continued success in executing strong affiliate deals around the world with sustained pricing escalators. Second, with the restructuring efforts already completed, we have made significant progress in controlling our SG&A cost base and, therefore, slowing our total cost growth profile. And finally, our book and cash tax rates continue to trend down and are much more favorable than we had expected last September. Lastly, I want to update the expected year-over-year foreign exchange impact on our full year reported results. Thanks to our hedging strategy, the expected FX impact on our cash flows has not changed much since our last call, despite recent weaker currencies in the UK and Europe. Assuming current spot rates stay constant for the rest of the year, FX is now expected to reduce our constant currency revenues by $150 million to $160 million and our constant currency adjusted OIBDA by $80 million to $90 million. We also now expect a positive FX impact to adjusted EPS of $0.02 to $0.06 due to the net effect of this year's adjusted OIBDA impact and the year-over-year change in the below the line FX impact. In closing, I'm extremely pleased at Discovery's progress in the first half of 2016 and our outlook for the rest of the year. I remain extremely optimistic about our evolving global portfolio of well-loved brands in over 220 countries around the world; our optionality, given our ownership and content and flexible cost structures; and our overall financial and operating momentum. Thank you again for your time this morning, and now David and I will be happy to answer any questions you may have.
Operator: [Operation Instructions] And our first question comes from Kannan Venkateshwar of Barclays. Your line is now open.
Kannan Venkateshwar: Thank you. Good morning. A couple of questions. David, on the strategic front, when we look at the cost structure in the US, the variable cost structure has obviously been an advantage helping you manage cost and margin. But internationally, your cost structure seems to be moving more and more towards fixed costs with the higher investment in sports. How should we think about the strategic view you have about international? Is this a bigger threat on digital sub growth or linear ecosystem growing? And secondly, Andy, from your perspective, the comment on Bundesliga breaking even from a cash flow perspective, does that include any assumption on OTT penetration? Thanks.
David M. Zaslav: Great. Thanks there, Kannan. So, I think our company has really – if you look at where we were three years ago, three and half years ago with the beginning of a cycle of all of our deals coming up with distributors here in the US and around the world and mostly our IP being non-fiction, we really – we made a strategic decision that we were going to invest more in content. We were going to focus our brands to be really around tribes or super fans. Get Discovery back on brand, science, we've driven Oprah to be number one for African-American women, but we also felt that we needed to grow our IP to have strength to really drive our long-term affiliate fees in an aggressive way. And we had said all along that sports was a real lag mover, that a lot of what you saw with ESPN in the 1990s is the way we see the sports market and the way that you saw the kids market in the 1990s is the way that we saw Brazil. So, we've emerged with much stronger IP and we're spending more for it in Europe on the sports side, but we've been very disciplined around it. Almost all of our deals have been low single or mid-single increases and we said we will be profitable on Eurosport with our sports bets. On top of that, we have the ability to sell that same sports IP to other platforms. As you go to Latin America, we have invested more in IP, but Scripps never went down to Latin America, so we have the number two or three channel for women in Latin America, which is Home & Health. So that's the equivalent of home, food and health down there, and we had also invested in kids' IP. And so as we look at ourselves today, we now have made most of our pivot. We don't need more sports content in Europe. We can be opportunistic. We have three sports channels in each country. We've been able to get big step ups and better than double digit increases, and you see our affiliate fees now growing double digit in – outside the U.S. You're going to see that accelerate even further in Europe. And we're finding that having kids, as well as a great female content, together with Discovery being number one in most markets, is giving us a lot more strength in Latin America. And so, our cost structure is really stabilized here in the U.S. We have Oprah working. We have Discovery number one in the U.S., and we have our channels on brand. And I think we've basically stabilized in Latin America and in Europe, because we have enough sports IP now, we think, to go directly to consumers to service all platforms, whether it be the phone guys or whether it be satellite providers, or content, or going directly ourselves. So, I think we're in much better position, with real long cycle sustainability on our affiliates domestically and internationally, and when I look at our bouquet of IP, we like our hand and it's important for us now to get that kids' IP, to get Discovery, which was last – two weeks ago determined to be the number one channel that people in America would want as a channel over the top, to take advantage of our brands and our IP on other platforms, which would be a cherry on top.
Andrew C. Warren: Yeah, and clarifying the Bundesliga economics is one of the more important goals of this call. As we said, it's a unique opportunity to gain these 45 game, prime time games at very favorable terms. And we've committed to that being free cash flow positive, and that does not include any additional OTT penetration that may be derived from those rights. So again, a very favorable outcome, a very favorable economic result. And again, to the degree that it drives, and it will, higher OTT penetration, that's just all upside.
Kannan Venkateshwar: All right, thank you.
Operator: Thank you. And our next question comes from Michael Nathanson of Nathanson. Your line is now open.
Michael B. Nathanson: Thanks. I have one for Dave, one for Andy. Let's stay on the German soccer league team. David, I guess one of the pushbacks when you think about Europe is, sports rights are shorter term than U.S. rights, so this is a four year deal. How do you protect your operations from the inflations like, or maybe the shorter term football rights versus where we are in the U.S.? How do you think about that impacting your economics of this deal?
David M. Zaslav: Good question. Most of our sports rights – with the Olympics after Rio, we'll get the rings in the Olympic library and we'll be in the business with the IOC throughout Europe for the next four Olympic games, and I'm heading over to Rio tomorrow. Most of the rights we've gotten are in the six to eight year range, and we've gotten all of our rights on all platforms. Four years is shorter than we would like, but having four years start in 2017 we think is attractive, and we don't need the Bundesliga on renewal. Right now we have – we're the leader in tennis, we have all the winter sports, we have track and field, we have cycling and we have MotoGP in all German-speaking countries. So getting the Bundesliga is, we think for us, kind of a real jump start and it allows us to play a lot of the games in terms of mobile and other providers that we think could be quite attractive, and we could learn a lot from it. We don't have any affiliate deals right now that are dependent on that, and we will be charging independently for the Bundesliga, so it will be a separate piece, sort of the way Turner – the way it's been done here in the U.S., so for us it's really a one-off. It's an ability to get the equivalent of Monday Night Football, to go into a very strong market and to take advantage of all the strong IP we have. And the fact that this is the most competitive market in all of Europe. Not just in terms of having a good advertising play, but you have a number of mobile players in that market, you have some very strong cable guys competing, and on top of that, you have Sky Deutschland fighting. And so there is a significant amount of interest in getting, as I said before, one, there is no requirements – governmental requirements – that would restrict us from offering certain things exclusive, certain sports exclusive. We did it in France with Volare (41:16), and so we can make this available to everyone. We can make some of our sports exclusive. We can emerge with an exclusive deal for some of these Bundesliga games. So, it just gives us a lot of vitality, and it takes us through 2021 and then we'll see what happens. We don't need it.
Michael B. Nathanson: Okay. And, I mean, just ask Andy, now that you have Liberty Global done, what percentage of the Eurosport footprints is now under contract for the next three to five years, and does that underpin a confidence in your guidance?
Andrew C. Warren: Well, look, Michael, it absolutely does. It's about two-thirds locked in right now. And, look, it absolutely underpins both our guidance for 2016 as well as our increased guidance for 2015 through 2018. That line of sight we have now, and to a much greater degree than we thought a year ago, around the international affiliate, is one of the biggest drivers of our strength and views of both this year and the next three years.
David M. Zaslav: And what we're going to need to do for you, when we get – when we fully lap this sports journey, but here we are a few years in, and we're operating three Eurosport channels. We've gone from 120 million subs to almost 150 million subs. Our viewership is growing. We have a direct-to-consumer product. We've increased our IP. And Eurosport still remains – it has a lower margin, but it's still profitable. It's in the double digit profitability range. And we've said that we will keep it profitable, but when we look at that profitability, we say this is what we're making on Eurosport in advertising and the affiliate revenue that we assign simply to Eurosport. But the way that we're doing those deals is, we're packaging Eurosport together with our 10 or 12 channels in each country, and that's where you see the 10% affiliate growth. That's not driven by subscriber growth. There hasn't been increased fees, generically paid by distributors in eastern Europe and western Europe. We've been getting significant step-ups and long term sustainable growth rates because of the overall package. And on top of that, we have the Olympics, which we said was going to be profitable, but now, based on the deals that we've done, and we're only about 27% or 28% of the way there, but on the deals we've done already, they're substantially more attractive and we think not only will we make money, but it will be quite profitable for us.
Michael B. Nathanson: Thanks.
Operator: Thank you and our next question comes from Anthony DiClemente of Nomura. You're line is now open.
Anthony DiClemente: Thank you. I think the Euro questions have been taken, so I wanted to – I want to follow-up on direct-to-consumer, David. You're learning a lot about direct-to-consumer in Europe with Europlayer. How does that inform your strategy here in the U.S.? I wonder, how do you think about direct-to-consumer apps for your fans? I think you call them super tribes. And so what are your learnings in Europe, say about your path to going direct-to-consumer in the US? And then second question for either David or Andy, I noticed the all three media content partnership. You guys didn't mention that in your prepared remarks. I wonder if you could just touch on the strategic rationale for that and does that tell us anything about yours and Malone's content strategy in terms of – I think it's for dramas, in terms of moving away from maybe your traditional comfort zone? And will you use that content from the partnership on the Discovery platforms? Or is it more likely that you'll license or resell that content? Thanks.
David M. Zaslav: Thanks, Anthony. We certainly have a lot to learn. We hired Paul Guyardo, who worked for Barry Diller and ran his new media and marketing operation, and he's now our Chief Commercial Officer and he has deployed Discovery GO here in the US. And, at this point it isn't deployed on all the cable systems. It's deployed to about 30 million cable homes in the US, but it's an authenticated app. It's all 14 of our channels. And we're learning a ton. One is about 60% of the viewership on Discovery GO is in the 15 to 25 age demographic, so a very young demographic is watching our content. Our female content is a big surprise. It's doing exceptionally well. We really thought it was going to be mostly our male content, which research has always shown that people love Discovery, they love Velocity. And so we've hired Paul, we're going to roll that out by the end of the year, probably everywhere in the US, and I think that will be a helper to us in terms of economics, but we're also getting to see what are people watching when they could watch anything. In Europe, we're learning a fair amount on our Eurosport app. Right now our Eurosport app is everything. And we're finding that we have significant churn, but when we're talking to customers, we're finding that they came in for the French Open and then they left. And then, they came in for the US Open and they left and they came in for Tour de France and they left. And so we've hired Mike Lang, who was head of development and strategy for Rupert and Chernin. He also ran MGM. He was one of the architects of creating Hulu. And he's moved to London and he's built a direct – building a direct-to-consumer team, and we're making some announcements, we've hired some very strong people, and it's an independent operation that will be driving our Eurosport app and all of the great IP that we have. And one of the things that we're learning is that it may be that these niches that – getting a season's pass for tennis where you get all of the tennis majors, a season's pass for cycling, you get all the cycling, season's pass for winter sports. There's some research that's showing that that might be a more interesting product, and so we're doing a lot of research. Because there's 55 countries in Europe, in the French Open we offered it five or six different ways and we're now evaluating where we were stronger, where were we weaker, where was there more or less churn. So we're feeling quite good about it, especially because our cost of our IP for our direct-to-consumer business is zero, because we own all of it. And the fact that we now own so much strong IP, I think works well for us. And so, the final thing I would say is that when we look at Discovery and we look at Science and we look at the auto category with Velocity, which around the world is called Turbo or DMAX, we're looking very hard at whether we create things like a science club for $2.99. We already have more science content than anyone else in the world. And Guyardo and Lang are looking at creating a science club for $2.99 or $3.99. And you get that app and you get all of this science and stem content and you get it in language around the world. Or we can do that with animals on Animal Planet or we can do that with some of the sub niches on Discovery. Maybe one of the most interesting pieces of data we got is, we started pushing – we're the leader with Eurosport.com online. We started to push a new app that instead of going to Eurosport.com you have your own app on your phone. We already have 17 million people that have downloaded and are regular users of that app. And so, that is for free, but that becomes a group that we now get to talk to as we want to find out what they want when we want to up-convert them to pay. So, we've got a whole lot to learn. We've got two fantastic leaders in the company that are really into marketing and direct-to-consumer business. And I think you'll be hearing a lot over the next few years. If we can make this work, you're going to see huge, I think huge growth, and I think you guys will give us a lot of credit for it because it's kind of the next generation of our IP. And finally, on all three, it's a great partnership with Mike Fries and us, we own it 50-50. We have a fair amount of scripted content in there, and the thing that differentiates all three from a lot of the production companies that are primarily US is that you could do deals in Europe where you hold onto the digital rights or you get the digital rights back in a year, two years or three years. So we see that as a profitable business that we can continue to grow and scale up, but ultimately those digital rights are rights that we could use on Dplay across Europe, that Mike could use on Liberty Global, together with our content, and we view it as a profitable content business, but an IP farm that could really generate more value for us in the aftermarket of mobile and direct-to-consumer as well as working with Mike and providing a better environment for Liberty Global customers.
Unknown Speaker: Yeah, there was an announcement today from all three and Liberty Global on con call (50:18) that they're doing on dramas that doesn't include us. That is Liberty and Virgin Media (50:20) that's not us.
Andrew C. Warren: One other point, Anthony on All3Media, just to remind people. Not only was it absolutely (50:30) strategic value that we wanted to achieve, especially around as David said, IP curation and first looks and optionality. But remember the deal structure itself was incredibly capital efficient. We did the deal, as you know, with Liberty Global. We both write an equity check for about a quarter of the value of the company. We're able then to, within the JV structure, do an additional 50% with debt and leverage that certainly makes it more capital efficient. So it is a very strong IP and strategic play and also being very capital efficient.
Anthony DiClemente: Thanks very much.
Operator: Thank you and our next question comes from Ben Swinburne of Morgan Stanley. Your line is now open.
Benjamin Daniel Swinburne: Thank you. Good morning. David, just to come back to Europe since that's the big news this morning and a driver of the higher long-term guidance. When you re-cut this Liberty deal, were there any restrictions on your direct-to-consumer flexibility. I'm thinking about, for example, taking your linear networks on, I think it's on DMAX or future products direct-to-consumer in any of the markets? Were you able to keep all that and get the step ups that you've laid out here? And any comment for us on your Sky relationship. You probably have lots of different deals with Sky around Europe. I'd imagine that's a huge part of what's left to do and then I just had a quick follow up for Andy.
David M. Zaslav: Thanks, Ben. First, the economics isn't driven just by Liberty Global. We just happen to be announcing Liberty Global. We've been able to do very favorable deals in Latin America. We're able to do very favorable deals in Europe. As you know we pulled our signal on three occasions in the last six months. So, it was a cultural change of – not only is our IP better but we're going to stand up for the value of our content and that's reverberated in Asia as well. The other piece that's helping our affiliate line which I think has more sustainable opportunity for us is that more and more content players want some exclusive content in order to de-commoditize their platforms. So whether it's a mobile player or whether it's a satellite operator or whether it's a cable operator in a particular market, more and more they want some exclusive content. So that when you buy their service you get something you don't get anywhere else. And we've been able to take advantage of that (52:56) in the Middle East and OCN (52:59). So we did our full package of services in the Middle East and then we offered some extra content to BN (53:03) and some extra content to OSN. That was all incremental and that's exclusive content. We have a huge library. We did the same thing with Bolareux (53:13) in France, and so more and more we're having discussions where we provide our base of services into the marketplace but then because we have a real opportunity we can just create a kid science channel. We can create a male channel very quickly in a market. We can launch another female channel. We can launch a young female channel and we can do it at very low cost with our library. So that's one of the things that's been helping to drive it. We don't comment specifically with respect to Sky or any of the other players in the marketplace in terms of when their deals are coming out or what the status is.
Benjamin Daniel Swinburne: Okay, fair enough. Andy, just quickly, a clarification. I thought you said that you would recognize half the cost of Bundesliga next year. I think it is a four-year deal, so I was just wondering if you could clarify on that. And then on US affiliate revenue, which was healthy in the second quarter, should we expect similar sort of 8%-ish growth in the back half? Thanks.
Andrew C. Warren: Hey, Ben. Yeah, Bundesliga it's really half the annual cost will be recognized in 2017. It is a four year deal, but because it's only six months of 2017 it will be one half of one year as license fees.
Benjamin Daniel Swinburne: Okay, got it.
Andrew C. Warren: Yes, is a four year deal. And look on the affiliate line, no question that our pricing escalators certainly reflect the 8% plus growth that we're now at. The question is and you all can model this yourself is what would happen obviously with the sub universes and what those declines may or may not be. And again, a lot of our penetration rights protect us but clearly the pricing escalators and other deals we've done reflect that sustainability of growth.
David M. Zaslav: I mentioned this in my comments but when you look at 50% of our revenue being long cycle, for us I think we've worked really hard over the last three-and-a-half to four years to get significant increases and it's paying real dividends us now. In an environment where the universe declines, we're still growing very, very healthy and we will, even if first declines increase. In markets where there weren't increases, we fought to get the increases. In Latin America, and in Europe and we sit now with 50% of our revenue very strong. Almost like a bond. And so if you have 50% of our revenue growing at 8%, 9%, 10% then the question is what do we do with our IP and our existing platforms? And what happens to the advertising market? If we grow 2% then maybe we're a 5% growth business. If we can grow around the world 5% then we're 6% or 7% or 8% growth business. If the advertising market – or we do a better job programming our channels and we can get advertising around the world up to 8% or 9% then we're a double digit growth business. And so I think, we are really going to focus in now. We've done a really good job on focusing on our brands. We have done a good job of getting our IP strategy in place with kids in Latin America and sports in Europe and in Asia now we have sports and kids at a much lower cost. But the incremental on top is if we could now create extra revenue by going to other platforms, that's all incremental. And so we're going to spend a lot more time on the other 50%, which right now is ad sales and viewership share of all of our brand as well as taking all of our IP to every other platform in every market in the world to get more dollars.
Benjamin Daniel Swinburne: Thank you both.
Operator: Thank you and our next question comes from Todd Juenger of Bernstein. Your line is now open.
Todd Juenger: Hi, thanks. Given the time, I'll try and keep it quick. Andy, I think just a clarification. I thought I heard you say, but I want to make sure I heard you say it, that your portfolio subs – I think you said they were down 2% year over year for the quarter. I think in Q1 you said that was 1%. I don't know – first of all I don't know if I heard that right. But if I did hear that right I don't know if that is anything peculiar to your particular mix of networks or if that tells us something about the universe of overall US paid subscribers. And again, just trying to keep it quick. The second question, I think you characterized your upfront as strong. I didn't know if you would be willing to make that any more specific in terms of either CPMs or ultimately actual dollars collected. Thanks.
Andrew C. Warren: Sure. Yeah, Todd, we did say down 2% versus down 1%. That nominal acceleration at 2% is a combination of cord cutting and cord shaving. But again even including that down 2% we still had – it's really a growth of 8%. So it really speaks to the extent at which our affiliate pricing contracts had been sustained. And what was the second question? Yeah, and the upfront, Todd, was – look, it was very strong for us. Without getting into too many details, broadly speaking pricing was high single. We were able, given that pricing dynamic, to sell out a little more of our inventory while still leaving room for the strong scatter. And so net-net, really couldn't be happier with the pricing. David mentioned the dynamics around OWN. We also put a lot more of the ad volume into our digital platforms, and so couldn't be more happy with how the upfront played out and how we're able to monetize that strength.
Todd Juenger: Terrific, thanks.
Operator: Thank you and our next question comes from Alexia Quadrani of JPMorgan. Your line is now open.
Alexia S. Quadrani: Thank you. Just one quick follow-up on your commentary. The move of Shark Week, which you highlighted, hurt ratings a little bit in the quarter. I assume that is not a permanent move, that it goes back to the normal timeslot next year. And I guess, just given the comments you just gave right now on the underlying – the advertising market is very strong upfront. You are (59:11) you've made in content (59:14). Should we assume – I guess, what's your assumption for the longer-term kind of domestic advertising growth for you guys?
David M. Zaslav: Thanks, Alexia. Well, first, Shark Week was down this year. It was still the number – maybe fourth most successful Shark Week. But we think it should be much better. We got it to a whole different level in the last two years and it dropped off. Part of that I think is, we made a mistake. We moved it too early. We did it for two reasons. One, we wanted to get out of the way of the Olympics and two, we thought it could be helpful to us to align with the July 4 weekend, but I think in retrospect, doing a lot of the research, I think that it was too early. There were a lot of people still working. When we've done it in August, we get a huge boost in date & day and late night, because people are just hanging out, and the kids are – kind of the dog days of summer. So I think you'll see next year, it will be going back into late July, early August where we found the most success. The only – one other thing I would say about the overall ratings and advertising market, advertising market feels strong. Scatter is better than double-digit above last year. The volume is quite good. We have been hurt in the U.S. by the strength of the news networks, they're up almost 100%. A lot of the viewership that's going for those networks is coming from some of our channels. Discovery's still the number one channel in America for men. But there's no question that both our male and female channels are getting hurt a little bit by that. So we're looking forward to the Olympics being over and early November, for the elections to be over, because we think we have a good hand with our brands, and a good hand with our channels. In terms of longer term, we can't predict. I would say we took some more money because the pricing was quite good. We were able to get more dollars and better pricing into some of our more successful channels, like ID, that's broken through now and is a top three or four channel in America for women and it's number one in daytime and late night. We were able to do a lot better with that. And Guajardo has, working with Abrase (61:34) has done, I think, a good job of leveraging some money into digital, which should show up as incremental in value next year. Scatter right now is strong. I think the biggest narrative that's changed, and I don't know how long it will change, is that TV's a pretty good place to move product for advertisers. And a number of advertisers move to digital and they weren't able to move as much product and they weren't able to get the kind of metrics that they were comfortable with, and so more money has moved back to TV. And the ability through things like X1, the ability through working with a number of the data services, to really get better quantification for who's watching and target advertising on television, is improving, as well as TV Everywhere getting a little bit better. So overall, I think right now there's some momentum that TV is a pretty good place, a more favorable place to move money, more sustainable, more dependable. I think over time digital is probably going to make more of a comeback, but that whole en vogue of digital has, I think, worn off a little bit and those that went in too hard, I think got hurt a little bit. So, for now it's good. We can't really make any long term predictions, but we're certainly way ahead of where we thought it would be.
Alexia S. Quadrani: Thank you very much.
Operator: Thank you and our next question comes from Doug Mitchelson of UBS. Your line is now open.
Doug Mitchelson: Thanks so much. I was just curious; you said on the U.S. app getting to the full market by the end of the year would be a helper for economics. Just curious how that flows through from your affiliate deals if that was sort of a separate – separately priced product. And then lastly, David, you talked about advertising and viewing a lot being sort of a core focus, as it always is. You often give us sort of international viewing and talk about how your focus is on global viewing, not just U.S. viewing. Any sort of update on sort of viewing by region and overall international would be really helpful. Thank you.
David M. Zaslav: Okay. You know, Discovery GO, right? We're talking about an authenticated app where we're working together with the distributors. So we have TV Everywhere, which we now have deployed everywhere possible, and we have our own authenticated app which allows us to get incremental advertising, but also reach a very strong Millennial population. So our CPMs on that are quite good. Our viewing globally is up. One of the things that – it's a little bit of a tale of two cities. Northern Europe is a challenge. It's been a challenge for the last year and it continues to be a challenge. Advertising was actually down in northern Europe. If you took northern Europe out, we were double-digit growth everywhere else in the world. And so we are finding that northern Europe, through very high penetration of high speed, very expensive cable, high penetration of HBO and of Netflix, and a very strong appeal of U.S. content with a high English-speaking population that loves the U.S. stuff, that it is having a significant impact on viewership in northern Europe. SBS has been a good transaction for us, it's a free cash flow machine. It's been very efficient in terms of the price we bought it at and the synergy we got. But of all markets around the world, it seems to be the one that has the most challenge in terms of viewership on traditional platforms. The good news is, it doesn't feel at all like it's contagion. In fact, Netflix penetration and SVOD penetration outside of northern Europe is much lower than everybody thought. Local content is working better for those players throughout most of western Europe and Latin America. So our viewership overall is up. It's up in the mid-single range, and we're fighting very difficult economies around the world. I mean, you have almost every country in either Latin America or Europe either flat or down, and advertising tends to follow GDP. The reason that we're still growing is that our share is growing and we have some efficiency and we've been able to get a little bit of market power as we've gotten bigger. But we don't see the economies improving anytime soon, and we don't see northern Europe improving anytime soon, but the rest of the market feels rather healthy to us, and our ability to continue to get double digit feels sustainable.
Doug Mitchelson: Great, thanks so much.
Operator: Thank you and our final question comes from Vasily Karasyov with CLSA. Your line is now open.
Vasily Karasyov: Just wanted to follow up on the domestic subscriber conversation. Is there any difference that you see, A, by your channels because you quote 2% decline for the portfolio. Is there one particular channel that drives that or is it across the board similar declines? And then, do you see any difference in terms of subscriber dynamics by type of distributor, I mean satellite versus telco versus cable?
David M. Zaslav: Thanks. Andy can get into more detail, but in the aggregate we were down 2%. You are seeing, I think, a little bit of a changeup. I don't want to call who the winners and losers are. You can do it. We see announcements of a number of guys gaining. Some of that hasn't flowed through. We don't know whether there are a number of platforms. In some cases we have some consolidated players that are looking to transition some from one platform to another. So we're getting some movement. Whether it's a sustainable 2% or whether that ameliorates based on the press releases that we're seeing from some of the bigger distributors that are saying that they're growing. We're also being helped a little bit by TV Everywhere and X1 is quite a compelling product and that's a big helper to us. And with Charter now and Time Warner coming together be Rutledge being an aggressive proponent of TV Everywhere, I think that will also be a helper. But what happens to the universe as some of the platforms are losing and some are gaining, we have a little bit of a lag, it remains to be seen. Right now it's looking like 2%. We'll let you know in the next two quarters whether that was high or low.
Vasily Karasyov: Thank you.
Andrew C. Warren: And from a network perspective, Vasily, it's kind of a mix. The bigger drivers, which is good for us, so the decline is really what we call the digi nets, or lesser distributed networks. And it's good for us because that's not where the economics of our US business are at. And so the bigger, mostly distributed, higher CPM networks are kind of growing at or below that level. And then we're still seeing, by the way, growth on Velocity and some of the other networks that have a particular affinity group that we continue to see traction on. So, it's kind of a mixed bag, but again, good for us that it's the lesser valuable networks that are seeing the greatest extents of decline.
Operator: Thank you and that concludes our question-and-answer session for today. Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Have a great day, everyone.